Operator: Good day, ladies and gentlemen and welcome to the SJW Corp First Quarter 2012 Financial Results Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded for replay purposes. And I would now like to turn the conference over to your host for today, Ms. Suzy Papazian, Corporate Secretary. Please proceed, ma'am. 
Suzy Papazian: Thanks, operator. Welcome to the first quarter 2012 financial results conference call for SJW Corp. Presenting today are Richard Roth, Chairman of the Board, President and Chief Executive Officer and James Lynch, Chief Financial Officer.
 Before we begin today's presentation, I would like to remind you that yesterday's press release and this presentation may contain forward-looking statements. The statements are only projections and actual results may differ materially. For a discussion of factors that could cause actual results to be different from statements interim and in this presentation, we refer you to the press release and for our most recent Forms 10-K and 10-Q filed with the Securities and Exchange Commission.
 All forward-looking statements are made as of today, and SJW Corp disclaims any duty to update or revise such statements. You will have the opportunity to ask questions at the end of the presentation. As a reminder, this webcast will be available until July 23, 2012. You can access the release and the webcast at the corporate website, www.sjwcorp.com.
 I will now turn the call over to Rich. 
W. Roth: Thank you, Suzy. Welcome everyone and thanks for joining us. I am Rich Roth, President and CEO of SJW Corp. On the call with me today are Jim Lynch, Chief Financial Officer of SJW Corp and Palle Jensen, our Senior Vice President of Regulatory Affairs.
 I would like to start by previewing today's call. As Jim will discuss in greater detail later, SJW's Q1 results improved over those of the same period a year ago as the cool and wet weather patterns of the past several years were replaced by relatively warmer and dryer weather this year. The prosecution of our California and Texas general rate cases as well as other regulatory activities had been our primary focus in Q1 and will likely remain so for the remainder of the year. Operationally, we are preparing for the spring and summer months, traditionally the period of highest usage and intense capital activity.
 In the first quarter, San Jose Water Company engineering, operations, and construction personnel ramped up their design and finding efforts to ensure we are complete our approximately $96 million capital program for 2012 in this highly regulated and complex business environment, executing a large capital program is a challenging process that, more than ever require a significant lead time for proper planning permitting contracting construction and internal coordination. While regulation generally mandates a one-year construction cycle for capital projects, a one year construction cycle is not possible for large and complex infrastructure projects. So, for obvious reasons, careful planning and scheduling is critical.
 Finally, in both California and Texas, we have better insight into our water supplies, which while adequate are not as plentiful as in the last several years. This requires more in depth operational planning to ensure continued delivery of our superior level of service in the high demand months that lie ahead.
 With those brief introductory remarks, I turn the call over to Jim to provide you with a detailed review and analysis of the Q1 results and other financial commentaries. After Jim's remarks, I will provide additional information on our regulatory filing, water supply, and the business development activities, and also a perspective on key operational and business matters. Jim? 
James Lynch: Thank you, Rich, and thank you to our listeners for joining us today on our call. During the first quarter of 2012, we experienced an 11% increase in customer demand and a 6% increase in tariff rates as compared to the first quarter of 2011. The increase in customer demand was attributable in part to warmer, dryer weather in our California service area through the first quarter of the year. This when compared to the same period over the past several years.
 Our increased demand in California was offset by a small drop in demand in our Texas service area as winter and early spring rain brought relief from the drought in that region. Revenue was $51.2 million in the first quarter of 2012 compared to $43.7 million during the first quarter of 2011. The $7.5 million increase included $4.7 million due to higher customer demand, $2.5 million due to rate increases and $300,000 related to new water utility customers and increased rental revenue from our real estate operations.
 Water production costs for the quarter were $20.1 million, an increase of $4.6 million over the first quarter of 2011. The increase was primarily attributable to increased demand and higher unit cost for purchased water and groundwater extraction charges in California. As you recall in June 2011, the Santa Clara Valley Water District announced a 9% increase in the wholesale cost of water. In addition, the increased water cost reflects the lower use of our own surface water, which resulted in an increase of approximately $1 million in production costs during the quarter.
 As a result of below normal rainfall in Northern California during the first quarter of 2012, the use of our low cost surface water supply was less than 350 million gallons compared to over 870 million gallons used during the first quarter of 2011. As of March 31, our surface water stood at 665 million gallons compared to a 5-year average for this time of the year of 1.5 billion gallons. Despite the rain we experienced in late March and early April, our surface water supplies may not catch up to our 5-year average during the remainder of the year. As a result, our use of this low cost water supply maybe reduced.
 Operating expenses, excluding water production costs were $24.3 million in the quarter compared to $22.6 million in the first quarter of 2011. The $1.7 million increase consisted of $912,000 due primarily to higher payroll and benefit expenses and recycled water retrofit expenses. $514,000 was experienced in higher depreciation and $348,000 in higher property and non-income taxes related to new utility plant assets placed in service.
 Non-operating expenses included interest paid on long-term and mortgage debts during the first quarter of $5.1 million compared to $4.7 million in the first quarter of 2011, reflecting our higher outstanding debt balance. Our provision for income taxes increased $366,000 due to higher pre-tax income. Net income for the quarter was $1.1 million or $0.06 per diluted earnings per share compared to $610,000 or $0.03 diluted earnings per share for the first quarter of 2011.
 During 2012, we planned to invest approximately $96 million in infrastructure replacement, which includes approximately $12 million for utility plant additions, in connection with the [indiscernible] fees resolution, L411A. Recall that resolution L411A addresses the bonus depreciation impact on ratemaking that resulted from the 2010 tax act. Also as we discussed last quarter, we are waiting approval from the CPUC to invest approximately $74 million over the next 4 years, on our Montevina Water Treatment Plant retrofit projects, which is necessary to meet new water quality standards for water treatment and increased capacity.
 This investment is in addition to our planned $96 million 2012 capital project investments. Our planned infrastructure spending is part of our methodical and ongoing effort to keep our utility plant ready and in good repair to deliver optimal service expected by our customers.
 Lastly, during the first quarter, we've renegotiated both our San Jose Water Company and our SJW Corp and SJ Land Company lines of credit with Wells Fargo Bank. As a result, we reduced the interest rate and commitment fees on both lines and increased the SJW Corp and SJW Land Company line of credit by $5 million. The lines mature on September 1, 2014.
 With that, I’d like to turn the call back over to Rich. 
W. Roth: Thank you, Jim. As we have discussed in previous calls, SJW has several important regulatory filings pending in 2012. Let me briefly discuss the general regulatory environment and then go in some more detail about the status of our most important regulatory activities.
 On March 15, the California State Senate confirmed Mark Ferron's appointment as the CPUC Commissioner. Mr. Ferron is the most recent of Governor Brown's 3 appointees, and all have now been confirmed with relative ease. As previously reported, the appointments of commissioner stand along for you were unanimously confirmed by the State Senate in January of this year. All 5 CPUC Commissioners are now seated and set to serve the remainder of their terms.
 In early January, San Jose Water Company filed its required general rate case covering the rate years 2013 through 2015. The filing of San Jose Water Company's general rate case application marked the beginning of the yearlong regulatory process scheduled to culminate with the commission decision in late 2012 with new rate scheduled to go into effect January 2013.
 In the application, San Jose Water Company is requesting a $90 million revenue increase over the 3-year period. As we have discussed on previous earnings call, we believe that incurred effect any rate determinations are based on realistic usage assumption, and accordingly a significant portion of the request to increase is a result of more accurate and a realistic customer usage assumption. To ensure safe and reliable water service to our customers, San Jose Water Company is seeking among other things CPUC approval of approximately $300 million in planned infrastructure investments over a 3-year rate case period.
 The increasing level of capital commitment requires revenue protection from the unpredictable effects of conservation and tier grades. Accordingly, San Jose Water Company has also requested a water revenue adjustment mechanism or RAM, any modified cost balancing account or MCBA as part of the filings. Additionally, San Jose Water Company has requested a Healthcare Memorandum Account and in Memorandum Account for expenses related to anticipated new water quality standards for Chromium VI.
 The discovery phase of the general rate case conference will end on April 30 from the Division of Ratepayer Advocates is scheduled to issue their report. As is usual, we have received and responded to a large number of discovery requests covering all aspects of our operation. At this time, we have now received many customer inquiries regarding a rate increase request even though the public notice process began in mid-January. However, this may change as local media outlets appear to have taken an interest. As we have explained to the media and our customers, a large portion of the requested increase is simply to adjust the conservation and the result in lower water usage.
 In previous calls, I have discussed the challenges of explaining conservation and tier grades to customers who understandably had difficulty reconciling the need to pay higher rate when the use less water. A final decision the matter is expected late in a year followed by great implementation in January 2013. To reiterate Jim's comments in a separate application trading before the CPUC, San Jose Water Company is seeking approval to invest approximately $74 million to upgrade its Montevina Water Treatment Plant. The application was filed on September 30, 2010 litigated in April 2011 and is still pending with the proposed commission decision expected later this year.
 At this time, San Jose Water Company's cost of capital determination for 2012 to 2014 also remains pending before the commission. In October 2011, the Commission's Division of Ratepayer Advocates and the 4 water utilities involved in the case reached the settlement and agree to return on equity of 9.99%. However on November 28, 2011, the administrative law judge on the case, scheduled hearings for January 2012 to explore the quote, “reasonableness of the proposed settlement.” And the Commissioner ordered the utilities to establish a Memorandum Account effective January 1, 2012 to track the difference between the currently authorized ROE and the ROE that will be ultimately authorized by the commission. The additional information requested by the administrative law judge has been submitted and a decision is expected sometime in the second quarter of this year.
 As discussed in previous calls, SJWTX, Inc. filed a rate increase application with the Texas commission on environmental quality on August 27, 2010. And an initial 38% rate increase went into effect on October 27, 2010. The submitted rate case application supported a rate increase of about 71%. In March 2011, we agreed to an interim rate order that allowed the 38% increase to remain effect subject to refund. But no additional rate adjustments will be made until either a final order issues or a settlement is reached. A hearing on the merits of the case was held over 6 days in late March and early April. And a final decision in the matter is expected sometime in Q3 of this year.
 Two Texas acquisition-related applications were approved by the TCEQ in Q1. Most of the acquired water systems are contiguous and connected to the Canyon Lake Water Service Company system. In late 2011, SJWTX passed the 10,000 connection level and we are continuing to sensibly grow our presence in Texas. With the acquisition of continuous water systems, that can be efficiently integrated in to our established regional platform. Our existing surface and ground water supply for [indiscernible] and provide reliable service to many water strapped smaller systems in and around our Canyon Lake Service area.
 Following one of the driest winters on record, seasonal rainfall accumulations in San Jose, California are at historically low level. In late March, it was the Sierra Nevada snow pack can also help boost local surface water supply. However, to-date, storage in Lake Elsman, San Jose Water Company’s primary surface water reservoir is approximately 50% of capacity. While we hope some additional rainfall during late spring will continue to improve local service and import water supplies. It is likely that local surface water supplies will below normal for the remainder of 2012.
 Overall, the water supply outlook for 2012 was still very good due to SJW's diverse sources of supply. Our groundwater basin, which is replenished by natural and artificial recharge remains near capacity. Imported water supplies are also looking good. As I mentioned on our previous call last year’s above average precipitation allowed the state's key reservoirs to remain at or near seasonal capacity, even with the dryer winter in 2012. As a result of this carryover, allocations from the state and federal water projects are currently at 60% and 75% of requested amounts, respectively, which should be more than enough to meet the region's demand.
 In Texas, the drop that began more than a year ago, is finally breaking in parts of the state including the hill country and areas served by SJWTX, Inc. Spring rains have reduced usage has started to fill reservoirs, but a reliable water supply remains essential to the continued growth and prosperity of the region. As always, SJW maintained this focus on designing, building, and operating high-quality regional water service platforms that provide attractive long-term returns for our shareholders.
 Our investments are enduring and we are confident over the long-haul that the investments we have made will contribute to sustained growth and profitability, earnings and dividends to our shareholders. Thank you all for your continued interest and investment in SJW.
 With that, I will turn the call back to the operator for questions. 
Operator: [Operator Instructions] Our first question is from the line of Michael Roomberg with Ladenburg. 
Michael Roomberg: I just wanted to follow up with you on the reservoir water situation in Lake Elsman. In years past, I know you have talked about your -- meeting your water supply from that source on a range of anywhere from I think about 3% to 14% of your total annual water consumption. Can you handicap kind of where you see that number shaking out for the remainder of the year just given what you've seen with the water supply situation as it stands today? 
W. Roth: Yes, it will be on the lower end of that range, Michael. I just think that there is -- there we’re going to have some water out there and that will help out, but it will be on the lower end of that range, because I don’t know the exact number. We’re going to be probably somewhere just above half normal rainfall for the area. So, I think for your -- it's for modeling or other purposes will be on the lower end of that range. 
Michael Roomberg: But just given the recent rainfall over the last couple of years, I mean, it's safe to say that there probably won’t be drought restrictions by any means during the summer time. Is that kind of how you are thinking about it now? 
W. Roth: Right. And we are in pretty close contact with the agencies that issue those conservation mandates if you will. And I think they are not going to do it. The reason is primarily is because the state water supply is in such good shape, because the state -- the reservoirs as we mentioned in our remarks, state reservoirs are in good shape. So, it -- you never know, but I think it's unlikely. 
Operator: [Operator Instructions] That looks like we have no other questions there. I’d like to turn the call back over to Mr. Richard Roth for closing remarks. 
W. Roth: Okay, thanks. Since, I know that there were people listening that didn't ask questions, so we appreciate your continued interest in SJW and look forward to talking to you next quarter. Thank you. 
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for joining us and you may now disconnect and have a great day.